Operator: Good morning, ladies and gentlemen. Welcome to AXIA Energia's Third Quarter 2025 Earnings Call. Joining us today are the following members of our executive team: Mr. Ivan de Souza Monteiro, CEO of AXIA Energia; Mr. Eduardo Haiama, Executive VP of Finance and Investor Relations; Mr. Antonio Varejao de Godoy, Executive VP of Operations at Security; Ms. Camila Araujo, VP of Governance, Risk, Compliance and Sustainability; Mr. Elio Wolff, VP of Strategy and Business Development; Mr. Italo Freitas, Vice President of Commercialization and Energy Solutions; Mr. Juliano Dantas, VP of Innovation, P&D -- R&D, Digital and IT; Mr. Marcelo de Siqueira Freitas, Executive VP of Legal Affairs; Mr. Renato Carreira, VP of People and Services; Mr. Robson Pinheiro De Campos, VP of Expansion Engineering; and Mr. Rodrigo Limp, Executive VP of Regulation, Institutional and Markets. We would like to inform you that this call is being recorded, and it will be made available on the company's IR website, along with the presentation being shared today, both in Portuguese and English. [Operator Instructions] Before we proceed, we would like to clarify that any statements that may be made during this conference call as to the company's business outlook, projections, operational and financial goals are based on beliefs and assumptions of AXIA Energia's executive management's as well as information currently available. Forward-looking statements are not guarantees of performance as they involve risks and uncertainties and therefore, depend on circumstances that may or may not occur. Investors should understand that general economic conditions and other operational factors may affect the results expressed in such forward-looking statements. I'll now turn the call over to Mr. Ivan Monteiro, CEO of AXIA Energia. Please go ahead, Mr. Monteiro.
Ivan de Souza Monteiro: Good morning, everyone. Welcome to our earnings call for the third quarter. Ever since the beginning, we aimed at building an efficient company, transparent company with predictable results aimed at serving its customers. The highlights for the quarter are an indication of this goal, record compensation for shareholders, additional BRL 4.3 billion adding up to those BRL 5 billion we had announced previously. This was only made possible through the derisking process ever since the capitalization process. We have greater generation margin along the lines of building a company focused on customers, teams in place with robust processes in place that will allow us both financially and commercially capture the benefits of this higher margin, continuous management of our portfolio. And we are divesting in EMAE and Eletronuclear after the Candiota thermal power plant and again, in the gas thermal plants, adding up to the sale of our stake in Santa Cruz. Eletronuclear is an indication of divesting our presence in nuclear power plants that started out with an agreement with the government, and we were not obligated to keep on investing in Angra 3. The acquisition of Tijoa adds up to several asset disentanglement operations we've been putting in place in the past 2 years. We are proud of this growth on investments, record highs between BRL 2.5 billion and BRL 3 billion. We are reaching a record reaching BRL 10 billion this year, focused on operational efficiency and an active participation of auctions. Just like we've seen in the last or the latest auction, we were awarded 4 lots. I would like to thank you very much for attending, and I'll turn it over to our CFO.
Eduardo Haiama: Good morning. On to Slide 7, please. Let me point out the financial highlights. First, with the revenue, there was a decrease both regulatory as was the capital, but 3 highlights. #1, in transmission, there was an increase in revenue. After the tariff review of '24, '25, there was a major impact. We no longer have that as of this quarter. But in generation, just like Ivan mentioned, this has also impacted revenue in generation as well as that one-off effect by extending the Tucurui contract last year. As to the EBITDA impact, these impacts are smaller. On the regulatory side, there was a small or a slight decrease of our EBITDA. That was the divestment of the thermal power plants. They were offset by our PMSO reduction and also because of the increase of the revenue from transmission. On to Slide 8, net income. Now let's address that from the company point of view. The reported net income was a lot smaller than Q3 of last year, driven by the provision we had for the nuclear contract. And in the previous year, given the tariff review that posted a positive impact in transmission revenue. But when we look the numbers adjusted by these effects, we would have had a 68% decrease due to the effect of the sale of other assets that would impact the total number. On to Slide 10, energy trading. This is our portfolio as is today. We are operating in every region. This is the available energy and energy that has been traded in each of these markets, either through quotas or through the captive market through ACL. This will impact the energy we have available for the free market. On to Slide 11. That's the energy balance. We have boosted the hiring for '26 and '27. But let me point out that we are increasing, just like Ivan put it at the beginning, the increase in the number of customers. We are transforming the company to put even more focus on the end users. On to Slide 12, that's the contribution of our results. For the second quarter in a row, we've been having good results in commercialization. Just like we said in Q1. So we had low results here. Weak results would impact the results for the following year. And in Q4, you can see on the chart on your right, this is the amount of available energy to be traded in the free contracted or contracting environment. And we expect to have yet another strong quarter. On to Slide 14, capital allocation. The highlight is the signing of selling Eletronuclear, we will be receiving BRL 535 million for our stake. But there's more. We'll be releasing the guarantees that we had to take over and transfer that to Eletronuclear and the guarantees will be granted by J&F. And our debentures that we were committed to investor to invest in Angra 1 that would amount to BRL 2.4 billion. On to Slide 15 now. On top of Eletronuclear, we also signed our stake. We signed the sale of our stake in EMEA. The completion of the last thermal power plant we had, which was in Santa Cruz. And we also acquired 50.1% stake in Tres Irmaos, Tijoa Energia for BRL 247 million. On to Slide 16. This is the role the auction plays out. We were awarded the week before. So you can see the highlight on the table. That's the amount of the investment of BRL 1.6 billion and another BRL 140 million of RAP. Ever since we were privatized, when we add up all the investments already realized and yet to be realized, we have BRL 17.4 billion worth of investments with an increase of BRL 2.4 billion in the transmission revenue stream yet again indicating our competitiveness in this industry. On to Slide 17 now. When we combine everything that has happened ever since the last earnings call in which we announced BRL 4 billion dividend payment, signing of Eletronuclear sales, selling EMAE and the acquisition of Tijoa and our participation in the transmission auction and this announcement of a dividend payout of BRL 4.3 billion, everything is part of our capital allocation strategy. And this is how it plays out. On Slide 18, consistent deliveries, everything we've done to simplify the structure and bring risks down and it's an indication of the price resilience we are projecting for 2026, advances in energy trading. And of course, we are improving our long-term pricing model that is more comforting in a sense when you look at the financial status of the company in the mid and long runs. By doing so, we've approved additional dividend payout of BRL 4.3 billion to be paid out in December this year, adding up to BRL 8.3 billion in the fiscal year of 2025. By doing so, dividends, including what have been already paid out will be reaching BRL 4.01 for both PNA and PNB shares and BRL 3.65 for the ordinary or common stock and golden share. Finally, on Slide 19, let me address the ESG agenda. I would like to point out our partnership with Google Cloud to develop our weather forecasting system by using AI. We'll be expanding our capacity to predict extreme events and strengthen operational and energy resilience. We are taking good care of the water resources. We have just started works to protect the source of the Sao Francisco River, BRL 51 million investment in the Canastra Mountain chain reinforcing water conservation and environmental safety in one of the most iconic areas of our country. And I would be remiss if I failed to mention that we sold our last thermal power plant back in October. The company is now 100% generating clean and renewable energy. We stand out and we are leading the energy transition to accelerating the Net Zero 2030 goal. That concludes my part of the presentation. Thank you.
Operator: We'll now have the Q&A session for investors and analysts. [Operator Instructions] Mr. Andre Sampaio from Santander asks the first question.
Andre Sampaio: I have 2 questions actually. The first one is related to the price resilience for 2026. Can you elaborate the reasons behind that comfort that you feel? What could be the roadblocks for prices next year? And the second question is more from a more strategic point of view. You've been reducing risks, thermal power plants. I believe you have addressed most of those problems you had in the turnaround process since the privatization. Can you elaborate on what the next steps should be? There's the trading portion we're all familiar with. Is there anything else? Are you considering going back to the new market as a second step in that derisk process or derisking process?
Ivan de Souza Monteiro: Thank you, Andre. As to the resilience, I'll turn it over to Rodrigo Limp.
Rodrigo Nascimento: Well, thank you for your question. Despite greater volatility in shorter months, we've been monitoring that throughout the year. However, for 2026, prices are usually around 240, a little over that. As to rainfall, we have a wet season that has started already, but somewhat delayed. And now in November, we've received some rain in important basins. But based on the price model we have today closer to the operator -- operators that are risk averse, well, changing or the change of our matrix, a more flexible matrix and especially during peak times, that will bring average prices more resilient. Maybe 1 or 2 weeks on the short-term prices may come down. Those variations tend not to be as relevant for 2026.
Ivan de Souza Monteiro: Thank you, Limp. Well, as to your second question, Andre, that process started from the capitalization. But day 1, after that capitalization, we had to deal with legacy contracts from the period in which it was a government-owned company. We had to wait for them to expire and then bring in new contracts. The best example, you mentioned it was the compulsory loans. The legal partner did fantastic work. We adopted a more active approach. We discussed that with the Board, and we're looking for solutions. We did not want to postpone anything or resort to the legal system. We wanted to address the problem. And we were very fortunate. This number is under BRL 12 billion, and we are heading in the same direction. This is something that we can manage. It's well known, and we are in a downward trend. Well, what we can expect down the road, the company will be completely focused on growing its business. We'll be paying close attention to the next auctions, just like we did in the transmission auction. You can expect active participation of AXIA Energia in the coming auctions. I hope I have answered your question. As to governance, of course, that will be discussed with the Board of Directors.
Operator: Mr. Bruno Amorim from Goldman Sachs asks the next question.
Bruno Amorim: Congratulations on the results. I have 2 questions actually as to capital allocation. My question is, is the company focus will be on looking for dividends to compensate shareholders through reinforcements and improvements? Or is there anything else that the company is considering for capital allocation for the near future? The second question is actually a request. I would like to know what the methodology was adopted for the dividend's payout. The way I understand it, your methodology tries to use net debt and EBITDA. As you gain confidence, you're getting close to that goal, you pay out dividends. My question is, to what extent that leverage includes as a factor to reduce net debt? Why am I asking this question? One of the reasons you gave us to pay out this dividend was the sale of some assets. So I want to understand the rationale behind it. When you announce the dividend, are you considering the assets that are available for sale will be sold? Or as they are sold, you can trigger more dividends to pay out?
Ivan de Souza Monteiro: Thank you for your question. Well, not necessarily. We do not take into account assets that haven't been traded yet. That isn't the rationale -- that's not the rationale of the methodology. As to capital allocation, you're right. As the company starts -- well, we always had the impression we're lagging behind. Now we're more familiar with the risks that are inherent to the company and preparing the company to live with that risk more proactively with more alternatives, financially, operational solutions. Bottom line is that once we know that what the cash flow will be in the future, you have more room to allocate capital. I would like to give the floor to Elio. I want to hear his thoughts as to those M&A operations and our auction participation. And then Haiama can talk about the methodology a little bit more.
Elio de Meirelles Wolff: Thank you for your question. Yes, in the recent past in terms of investment allocation and capital allocation rather for investment, we've been focusing on transmission. That's true. Our #1 focus is reinforcements and improvements. And the second point is transmission auctions. They've been very profitable. We've been involved more and more often. And the next one will be on -- in March next year. But the agenda will be including other topics. We have the capacity auction, again, in March 2026, we consider being there with some hydroelectric power plants, and the second half of the year, the auction for batteries. So our focus is to provide options for investments as we see an opportunity to allocate capital for this option, either through an auction or elsewhere, we've been increasing that direction. We want to simplify, but the agenda remains robust in '25, '26. There are some assets that can be used elsewhere, and we'll be pursuing those goals to generate even more value.
Eduardo Haiama: Well, Bruno, let me explain how we make those simulations to understand how much capital we do have to allocate throughout time. M&A operations, for example, that haven't been finalized or they're only in paper. We're still considering it. These things are not included. We have to be conservative, be it when we spend or when you believe you're going to have that receivable. It works in both ends. Just like the energy price. Looking ahead on a midterm horizon, you include contracts that are actually signed. But everything that hasn't been signed, we will adopt conservative prices because that's how the methodology was put together so that the company can be robust all the time to face the volatility we see in the marketplace. So this is written in stone to us. We include several factors, just like we mentioned in the presentation, ever since the signing of the sale of Eletronuclear, Brazilian prices for 2026 as well as the acquisition of our stake in Tijoa, we can have better control of the cash flow of a company in which we have a stake in. Well, everything is put together so that we can feel comfortable to run a company like ours in that kind of environment.
Operator: Maria Carolina Carneiro from Banco Safra asks the next question.
Maria Carolina Carneiro: Let me go back to the question about capital allocation. You mentioned your participation in the auction on Friday. Can you give us more color as to the strategy of the auctions. It's not that common in Brazil. When we compare to other assets you've been developing, is there any synergy? Is there a possibility of anticipating some of these lots? We would like to better understand how attractive this lot is. What's your take on this opportunity? You've just mentioned that you may be part of the capacity reserve auction. Can you elaborate on that ordinance that will regulate this? Can you help us understand what assets can be regarded as competitive, if you can, please.
Ivan de Souza Monteiro: Thank you, Carol. One of the great advantages of predictability of our cash flow in the future is, of course, to be able to participate in those auctions to capture all the synergies of existing assets and the assets will be built. We are awarded that and a better relationship with our top customers or suppliers. We can provide greater predictability as to what we will need and when suppliers, of course, can schedule their production accordingly. Let's now address the strategy of the previous auction and the position of the company for future auctions and our opinion about the ordinance or the RFP. Thank you for your question, Carol. The approach for transmission auctions is similar. We assess all opportunities, and we are very careful to make sure we're generating value to the group. This is key, and it was not all that different in this time around, in this auction. Not only in those lots that we were not awarded, we were still competitive. we were awarded 6, 6A, 7A and 7B. They are somewhat different, as you said. They have more equipment, less construction will be needed, and they are very competitive as a product. Let me try to give you more color. We look at the auction with a very positive outlook. The positive result brings us more than 2-digit return. We like to strive for mid to low teens, around 15% in a nutshell. Now in March 2026, we have similar products. We'll be learning from the previous auctions to come up with the best possible strategy. For the capacity auction on the other hand, we do not give any detail of the ones we are going to be taking part in. We have a very comprehensive portfolio, almost 6 gigawatt capacity. It's not what will qualify the auction, but 6 gigawatts can be implemented. That's our goal. Part of it will be implemented in March. That's our goal for that auction. This is how far I can mention. And now on to products. The '31 product is a very good alternative and additional option to sell excess capacity for our hydroelectric power plant. Yes, piggyback on Eduardo's comments, that public consultation would include just one product. Now we have the 2031 product, yet another opportunity to get a kick start on our projects. The granting power has realized that HPPs have become very important to provide flexibility to the system overall.
Operator: Mr. Antonio Junqueira from BTG is up next.
Antonio Junqueira: Questions about regulation and about the company. We've had the ordinance for the capacity auction and a new provisional measure. Considering the draft as is, what are the possible impacts you foresee in the next 3 to 5 years, marginal expansion costs, are the right incentives in place, if you were to come up with public policies, what changes would you make, especially in the 1034 ordinance?
Ivan de Souza Monteiro: Well, thank you for your question. I'll hand it over to Elio.
Elio de Meirelles Wolff: Well, that answer could last hours, but I'll try to be as brief as possible. In sum, that provision measure, our take on it is very positive. It will address the needs and it's heading in the right direction. The industry has many substantial distortions that impacted expansion, and it ended up generating several problems we're faced with now, energy reductions, among others. So that draft bill approved in Congress tries to address some problems with a positive approach, something that is very important, trying to reduce subsidies, limiting high production models. High production has a way different concept. Consumers wanted to resort to that self-production model to try to have more predictability. Today, the model is used not to pay taxes. There are some positive limitations, and this is something that the industry has to do to organize expansion, and that is price policies. So in that sense, that provision measure provides important guidelines. They're not only self-applicable. There has to be a methodology that has to be regulation, but it's heading towards that price policy that is more aligned with the actual needs of the system, such as the expansion of a need will be regulating, flexibility, availability concepts. Conceptually speaking, they are positive. But of course, they'll demand some fine-tuning. There was something else that we have been discussing for quite some time in the industry. It was mature enough, which was the complete opening of the market. I believe that this addresses these topics, especially sustainability of distributors and paying attention to consumers, both that won't migrate. It will be opening up by providing more flexibility, competitiveness, not only to come up with an account for the captive consumers and the time line. We believe it's appropriate to meet the needs of the system. There are a few items that will be more controversial that were included in that provisional measure. And I mean distributed generation. There was a proposal to charge the distributed production and during a plenary session in Congress that was removed from the draft bill. That distributed is not used with the price tagged to it, unlike decentralized projects. Today, after the approvals of those discounts that have been approved, you have that price indication so that we can have the green light for some projects. We believe there should be some modeling in place that can provide more rationality behind the expansion. And one of the most discussed topics in the industry is to the reimbursement of curtailment that will impact many generators today, for both wind and solar generators. A solution was tried, was attempted at least. The government will have the prerogative to increase 2/3 of the provisional measure, 1/3 for the commission and one -- well, they're not conflicting in nature, those 2 texts, those 2 drafts, but there are some contradictions. But again, this is a very important topic. The executive branch will come up with a solution to strike the proper balance, trying to what should be considered risks for the generator and what's not that could be carried over or transferred over to consumers. So the Congress tried to wear those lenses so that we don't want to allocate costs to consumers that could be better managed by the generators themselves. As to GD, do you believe that the break will happen only when we run into a serious problem, when you have that, can we do that without the regulation? Well, the text of the provisional measure chose not to charge for projects that are for distributed generation. You have to take into account the investments and you also have the CDE discussion that will, one way or another, impose limits for distributed generation. They want to strike a balance in the expansion. That was the goal.
Operator: Mr. Gustavo Faria from Bank of America asks the next question.
Gustavo Faria: I have 2. One is more operational, and the other one is more straightforward. My operational question is about the modulation gain from hydroelectric power plants. What is the trading market for that modulation hedging for other sources? Some traders say they have little liquidity for future markets as to the modulation. And the benefit is only for the past prices. My question is about what's your take on the liquidity? Do you believe there will be a spread for hydric? Can you give us some color as to what the price would be for future contracts, not only on the spot market? And my second question is about the recurrence of dividends payments. You've announced in Q2, Q3. My question is about the frequency of the coming quarters. Can we expect quarterly dividends payout? I think it would be better for the market to -- if we could have that understanding.
Ivan de Souza Monteiro: I'll hand it over to Italo. He will talk about the modulation.
Italo de Carvalho Freitas Filho: Thank you, Ivan. Limp, I think, can field the questions as to the current status of the modulating system. And then I can address the trading issue and the product we have in the market today.
Rodrigo Nascimento: Well, modulation, just a while ago, maybe a year or 2 ago, it was not something noticeable. We've included a slide today to explain that so that we can actually quantify each one of these sources. Hydroelectric, for example, it's the source that can supply those times in which prices are higher. It will have that modulation benefit. In the last quarter, it was about BRL 14 to BRL 15. We expect it will grow not substantially. It will grow as the price reflects the need of the system or up until the expansion will prevent again the need for those very clear-cut ramps in place. Again, it's a benefit that is captured by sources, those that are regulated and those that are not end up being exposed. As to the liquidity of the modulation product and trading, I'll get back.
Italo de Carvalho Freitas Filho: Well, thank you, Limp, for that explanation. This is an energy-only market as they call it. It only impacts energy. And within that energy, we have a modular characteristic in our system in the case of hydroelectric power plants. Well, we don't see any discussion of an actual modulation product in the market, especially if you were to modulate wind or solar, for example. Again, it's not a product with liquidity, a product that you can put on a shelf and actually sell it. Well, in the future, there may be that option or the possibility of having such a product. But some rules, some issues will have to be addressed in the regulation so that we can actually have a modulation as a product in a market like that of Brazil. Haiamawill talk about the frequency of dividends payments.
Eduardo Haiama: Thank you, Gustavo. Well, recurrence, every quarter, we'll be updating the methodology. That's the recurrence we can guarantee. Based on the events, these events can be what we've seen this past quarter, selling Eletronuclear, selling EMEA, the acquisition of Tijoa, the transmission auctions and so on and so forth and the price outlook for 2026. If by chance, significant sales occur, we'll be signing midterm, long-term contracts that will be included in that calculation. That's the only thing I can say to you now. Paying dividends every quarter, that will depend on the model itself. The discipline is what we're going to keep on abiding by so that we can have a company with a financial health that will allow us to execute only what we believe will generate value at the right time. So we have to make that very clear before we make any decision.
Operator: Isabella Pacheco from Bank of America.
Isabella Pacheco: There are 2 questions. What's the leverage ratio you can reach by the end of 2026? The second, what's the minimum cash position that are -- that is comfortable to you? Are there any policies associated to that?
Ivan de Souza Monteiro: Let me make sure I understand your question. You're looking at 2026 as if it were a hindrance to announce new dividends, new capital allocation. Our methodology does not take into account the short term. We look at the 5-year horizon, and we are confident in doing so because our company generates a lot of cash. If you're not allocating, our leverage will plummet. Having said that, when we look at 2026, our leverage won't be that different to the one we're having in 2025. And why? On top of the investments we're making this year, some will disappear just like T&E [indiscernible]. For next year, we'll be investing in that auction we were awarded back in 2024. Investment peak in '26, we'll be ending that cycle in 2027. The global investment won't change all that much. If the level we have until July remains the same, we expect very similar dynamics as of 2027. As capital allocation that we have today comes down, we'll be beginning to substantially deleveraging the company. That's why we do not take the short term into account. As far as liquidity goes, we have made movements to reduce risks on one hand. And of course, the liquidity we had to have earlier this year and in the previous year, this need is no longer all that important given these events that has happened in recent times. Of course, we cannot bring the cash to 0. It's a very large corporation even considering the fixed income market growing exponentially. We have -- we do not have a number as the minimum cash we have. We are BRL 20-odd billion. I would never go below BRL 10 billion, maybe BRL 20 billion, BRL 30 billion would be necessary, taking into account everything we've done so far.
Operator: Raul Cavendish from XP asks the following question.
Raul Cavendish: I have 3 questions. #1 is about the Tijoa acquisition you are considering being part of the capacity reserve. This could be one of the value levers that you might resort to. But I would like to know if there are others, a deleverage asset, there may be some value generation, maybe some recap, but there are other levers in Tijoa. That's my first question. The second question is about dividends, given the BRL 1.087 billion and the BRL 4.3 billion announcement for this quarter, is it the level you expect till year's end? But if you approve, if there is approval of the BRL 1.087 billion, is there any possibility of an additional dividend payout before the year's end? And my third question is about storage. You talked about it already. But I believe that provisional measure provides a more comprehensive discussion, and it's under the radar of ANEEL as to how that technology is to be implemented through regulatory routes. My question is, what's the company's take because there are many different types of applications in the system, right? I would like to understand what's the company's strategic position. Is it through auctions only? Are there any alternatives, focusing more on transmission. I would like to better understand what the company is thinking about. It's an opportunity and a risk structurally speaking, if we expand on the limitation of the modulation gains.
Ivan de Souza Monteiro: Thank you, Raul. The first and the third question will be addressed by Elio and dividends will be addressed by Haiama.
Elio de Meirelles Wolff: Thank you for your question. I think you've explained it -- you put it very well. Tijoa, the acquisition has been a very appropriate and advantageous decision, 50% of the plant, it's a quota-based plant. When you look back in 2024, BRL 136 million is they have, they are debt free in itself is a beneficial acquisition for AXIA. And there's more. You would have to resort to arbitration. We put an end to that arbitration. So you end that discussion. And the main driver in that sense is the possibility to expand. You have 3 additional machines. There's room there. Construction has been concluded. Again, it's an advantageous decision. For the auction in March, we will not be able to take part in that given the auction regulations. It's a 100% quota-based plant. We believe that expansion makes sense to the country, to the company. We expect to put that in practice in the future. As to the batteries, your third question, we have a very substantial battery pipeline. We've been considering several alternatives in that sense. But the way the Brazilian system has been conceived, you cannot capture the value of that intraday. We believe it should be very interesting, very attractive. As a solution, batteries are important to the system. They will come. We see that happen in many other markets in a more mature stage. It's only at a very early stage in Brazil. And the short-term opportunity, of course, is the battery auction, but the regulations or the rules haven't been published yet. And at the same time, we would like to see opportunities to maximize value through the intraday operation. It hasn't been created yet. That would be great for the market, not only through actions, but rather effective market solution for batteries.
Ivan de Souza Monteiro: Thank you, Elio. Well, the last payment did not take into account the taxation. But I would like to turn it over to Haiama.
Eduardo Haiama: Thank you, Raul. As to dividends, of course, we have been monitoring whether there will be taxation on dividends or not. What I can say to you is that any decision the company makes will take into account a look at our methodology. If there's room, if it makes sense, if we believe that economically to our shareholders, it makes sense to pay additional dividends before using, but the methodology for capital allocation will determine whether there is that payment or not.
Operator: Rafael Dias from Banco do Brasil ask the next question.
Rafael Bezerra Dias: What's the expected EBITDA margin and maintenance CapEx for the lots that you have just been awarded in the latest auction? Is the same for traditional assets, transmissions, substations? Do you expect any efficiency on the annual CapEx for these assets?
Ivan de Souza Monteiro: Turn it over to Elio.
Elio de Meirelles Wolff: That was a very objective question. As far as margins are concerned, they are higher, higher ROI. Well, it's clear that the competitiveness we brought to this product, just like we've said in the past, it's a trustworthy relationship, the commitment of our suppliers, they will provide us with that capacity to invest. We implemented that CapEx optimization when compared to the original CapEx from ANEEL. The numbers I've seen around as to the appreciation, what that discount would be, they are somewhat conservative as to what we got. We see that possibility to optimize. We'll keep on looking for partnerships with suppliers so that we can have even more competitiveness in the auctions.
Operator: Debora Borges from Banco Safra.
Debora Borges: I have 2 questions. The first one is about Eletronuclear. It needs urgent investments. Are you going to make any investments there? And the second question about price dynamics. We still see prices below average. Can you talk on that price dynamic? How can the company address that issue?
Ivan de Souza Monteiro: Thank you, Debora. We are still partners of Eletronuclear, and we keep tracking that management, and we are aware of the company needs. I cannot tell you right now as to we are going to be making additional investments in that. As to price dynamics, you have to be careful when you compare ourselves to our -- to the competition. Well, we are 100% hydroelectric and part of it is contracted out. Our competitors have midterm, long-term contracts, contracts that have been signed way before, and they may have included some higher prices in there. But when you look at the hydroelectric product, I believe our prices are higher. There are many products out there with wind, solar, when everyone was still developing those sources. But at the end of the day, they'll have to purchase energy, and we do not have to incur in those purchases. So our trading margin generation will be probably higher and on a growing trend because the price dynamics, the way we see it, it's trending upwards.
Operator: Gustavo Pimenta from BTG Pactual.
Gustavo Pimenta: The TPI stake in Tijoa connected to other creditors. What are the conclusion -- what are the necessary requirements for the conclusion of the transaction?
Ivan de Souza Monteiro: Elio will field that question.
Elio de Meirelles Wolff: Well, of course, Gustavo, any divestment will depend on approval. It's only natural. That's the way it is. It's a condition to finalize that sale. It has to go through the regulatory agencies to ANEEL. We are pending those approvals. We don't expect any roadblocks along the way. As far as the timing, everything is going on according to plan. Maybe in 2 to 3 months, we'll be able to finalize that deal. It's a natural time frame.
Operator: This concludes the Q&A session. I'd like to turn the conference over to Mr. Ivan Monteiro for his closing remarks.
Ivan de Souza Monteiro: Thank you all for attending. If you have additional questions, our IR team is available to answer any questions. Thank you. Have a great day.
Operator: This concludes AXIA Energia's earnings call. Thank you. Have a great day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]